Operator: Welcome to the second quarter 2009 earnings conference call. (Operator Instructions) I would now like to turn the conference over to our host, [Stephanie Coyle].
[Stephanie Coyle]: The information discussed on this conference call today may contain or refer to forward-looking statements regarding MFA Financial Inc that reflect management's beliefs, expectations and assumptions as to MFA's future performance and operations. When used statements which are not historical in nature including those containing words such as believes, expect, anticipate, estimate, plan, continue, intend, should, may or similar expressions are intended to identify forward-looking statements. All forward-looking statements speak only as of the date on which they are made. These types of statements are subject to various known and unknown risks, uncertainties, assumptions and other factors including but not limited to those relating to changes in interest rates and the market value of MFA's investment securities, changes in the prepayment rates on the mortgage loan securing MFA's investment securities, MFA's ability to borrow to finance its assets, implementation of or changes in government regulations or programs affecting MFA's business, MFA's ability to maintain its qualification as a real estate investment trust for federal income tax purposes, MFA's ability to maintain its exemption from registration under the Investment Company Act of 1940, and risks associated with investing in real estate related assets including changes in business conditions and the general economy. These and other risks, uncertainties and factors including those described in MFA's annual report on Form 10-K for the year ended December 31, 2008 and other reports that it may file from time-to-time with the Securities & Exchange Commission could cause MFA's actual results, performance and achievements to differ materially from those projected, expressed or implied in any forward-looking statements it makes. For additional information regarding MFA's use of forward-looking statements, please see the relevant disclosure in MFA's quarterly report on Form 10-Q for the quarter ended June 30, 2009 and/or the press release announcing MFA's second quarter 2009 financial results. I would now like to turn this call over to Stewart Zimmerman, MFA's Chief Executive Officer.
Stewart Zimmerman: Joining me this morning are Bill Gorin President and Chief Financial Officer, Ron Freydberg Executive Vice President and Chief Investment Officer, Craig Knutson Senior Vice President, Tim Korth Senior Vice President and General Counsel, Teresa Covello Senior Vice President and Chief Accounting Officer, Deborah Yang First Vice President Analytics. We were well positioned going into the second quarter of 2009 and we're certainly pleased to announce our financial results. First, I would like to make a few remarks about our strategy and then open the call to questions. We've added senior mortgage-backed securities to high yielding agency mortgage-backed securities and we think that's a very compelling strategy. Consistent with our focus on high quality assets, we are blending senior MBS with higher yielding agency securities not junior credit enhancement securities or lower tranches of mortgage-backed securities. Majority of our assets will continue to be hopeful agency mortgage-backed securities due to both the attractiveness of the asset class and for purposes of our exemption under the Investment Company Act of 1940. With senior mortgage-backed securities, we can generate attractive returns for stockholders with less leverage and less sensitivity to the yield curve interest rate cycles. We are uniquely positioned with the requisite expertise to benefit from existing investment in higher yielding agency mortgage-backed securities and the acquisition of the senior most tranches of non-agency residential mortgage-backed securities. Adding these senior mortgage-backed securities to our high yielding MBS, again I say, is a compelling strategy. Why? Well, senior mortgage-backed securities offer low to high teen loss adjusted returns. The structured credit enhancement the highly discounted purchase price mitigates the risk of loss of invested principles. We are currently acquiring these assets without leverage. These high yielding assets are significantly less sensitive to changes in the yield curve in interest rates and the return on discounted senior mortgage-backed securities increase if prepayments were to [inaudible]. So, what I'd like to do is go over some of the key data that were listed in the press release and then simply open the call to questions. So, you can see that our net income was $67.1 million or $0.30 per share. Our net income, excluding items not affecting distributable income, was $61 million or $0.20 per share, and our dividend declared, as you know, was $0.25 per share. Our book value as of June 30 was $6.99. Return on equity on distributable income was 15.9%. Leverage overall debt-to-equity was 4.8 times, however, the effective leverage, excluding the equity used to fund unleveraged non-agency mortgage-backed securities, was 6.2 times, liquidity about $653 million. Our portfolio spread 231 basis points. Our MBS net spread 249 basis points. Average cost of secure of agency securities 101.3% of par, repricing gap assuming a 15% CPR 19 months and our CPR was in fact 16% for the quarter. So, I want to thank you for your continued interest in MFA Financial. At this time I'd like to open the call for questions.
Operator: (Operator Instructions) Your first call comes from Andrew Wessel - JP Morgan
Andrew Wessel - JP Morgan: Couple questions on the strategy going forward. Obviously, you've added a lot of equity to the non-agency strategy in the last couple quarters. Do you have a target for where you expect that to go longer term given the current opportunities you're seeing?
Stewart Zimmerman: Andrew, we don't have an absolute number. There is no magic numbers to say that we're going to be at a particular. Again, as I said I think in my opening remarks, the bulk of our assets will continue to be agency, high quality agencies. And, again, we do look for this portion of the portfolio certainly that we're going to continue to buy because it doesn't make one heck of a lot of sense to buy agencies at 5 and 6 point premium and load up on very, very low coupon. So that's not part of our strategy now. We still like the agency market. We still think there's going to be incredible value in the agency market, but not quite now. So we think a little bit of this credit area certainly makes sense for us and its proving to be very, very positive.
Andrew Wessel - JP Morgan: Given the projected returns you're seeing in that asset class and the possibility of buying leverage going forward at some point, and then countering that with all the other of these mortgage REITs that are coming out that are on file right now kind of targeting similar parts of the non-agency market. What are your thoughts on raising capital here or on the potential for MFResidential to be spun out at some point on its own?
Stewart Zimmerman: Let's take the second part first. We always like to have optionality. Whether or not MFResidential would have got spun off or not, that's something that could happen but it's not necessarily in the plans in the immediate future and that's why we've done everything through MFA. So, I think our strategy has proven to be good. In terms of other folks coming into the market, that's fine. Basically, when we look at our mark-to-market on what we've purchased, and that's going back to the latter part of last year, what we own is kind of golden and we are very comfortable about what we've paid. I think our average purchase price, if you look in the press release, is about 51% of par. So, we're very, very pleased with that. If in fact prices were to continue to grow, meaning that the value continues to increase, that makes what we own that much more valuable. I'm very pleased with that, but you can still obtain very, very handsome returns on these types of assets.
Ron Freydberg: Andrew, as you know, we've publicly been pounding the table on these assets since December. Now, albeit, December we were only pounding it lightly and in February and March we were pounding heavily, but we like the [assets] very much. I think in retrospect our timing was overtime you'll be able to look back to gee, we really timed this well. The investment opportunities are still there and what you have here is the numbers through June. In July, we continue to buy senior most tranches of non-agency MBS.
Andrew Wessel - JP Morgan: So, in that regard are the opportunities attractive enough to consider new capital or do you think just the recycling of capital from the agency portfolio over to the non-agency portfolio are –
Stewart Zimmerman: We always look at the opportunity, as you know, in this type of an entity to raise capital because that's how you grow. If the share price gets to a point where it makes some sense, we always look for that opportunity.
Operator: Your next question comes from Mike Widner - Stifel Nicolaus & Company
Mike Widner - Stifel Nicolaus & Company: Just a quick one on repo cost. I'm wondering if you could talk about where those stand and if you're looking at the extended duration repo now or if we're still fairly short.
Ron Freydberg: We're seeing more counterparties coming into play for repo. You're seeing one month repo in the mid to high 30s now so we broke through the 40 barrier recently. We're also seeing more counterparties entertaining going further out with their repo financing. So we're talking to a couple of people about going out one, two and maybe even more than a couple of years. But, again, it's very different than what you saw six, nine months ago where people were a little bit hesitant to go out beyond one and three months.
Mike Widner - Stifel Nicolaus & Company: As far as the longer duration stuff and the prices on that, is it attractive pricing relative to swaps or is it kind of crazy expensive to go out more than three, six months.
Ron Freydberg: No, it's not crazy expensive it's probably swaps minus some, so it's not crazy expensive.
Mike Widner - Stifel Nicolaus & Company: So, are you doing much of that today or are you still kind of keeping it short and waiting to see how interest rate plays out?
Ron Freydberg: It's something that we look at all the time. We've seen that short rates have stayed in the same general area for a while now and we don't see a whole lot of change in the marketplace. But, again, it is something we look at and we will keep looking and seeing what works best with our assets.
Mike Widner - Stifel Nicolaus & Company: Just one other one, if I could. The leverage on the non-agency part of the portfolio you indicated it's down around – sorry on the agency side of the portfolio that's down around 6.2 times. Are you guys thinking about that on sort of managing the leverage at this point or is it more about buying agency assets if you find the pricing attractive and pricing is not very attractive right now.
Stewart Zimmerman: It's really a combination of the two. And, again, the world is still somewhat unsettled, certainly better than it was going back a year ago. I think it's still important to be very cautious in terms of leverage, so in terms of where we are, we're very comfortable with that. If that were to change, we can kind of change on a dime also, so I'm very comfortable with where leverage is and that's really where we are.
Ron Freydberg: But if you're not going to buy assets, obviously, you're not going to increase leverage.
Stewart Zimmerman: But, as I said before, to pay 5 and 6 point premiums for agency assets if you have the optionality 100% on the side of the homeowner or the borrower, it's just not our strategy. It may be someone else's, but it isn't ours.
Operator: Your next question comes from Steven DeLaney - JMP Securities
Steven DeLaney - JMP Securities: Just for clarity, I think if we look at just this leverage is going to be confusing for you guys, not only because you have the unlevered non-agency book, but within your legacy book your MSA book you have the 96 million of repo on your legacy senior RMBS at a lower leverage rate. So I think 6.5 times would be the correct figure if we just looked at the leverage on the agency book alone, just to kind of put you apples-to-apples with your peers, for what that's worth. I wanted to ask following up on Mike's question on repo as well, but I'd like to talk about on the non-agency side. Ron, thank you for the color on where agency was you've had this $90 some million of repo that you've been able to maintain even throughout 2008 on your legacy book. Can you tell us what the pricing on that is relative to the agency repo pricing?
Ron Freydberg: Typically its one month LIBOR and its LIBOR between plus 150 to 250.
Steven DeLaney - JMP Securities: We're hearing some signs, just like you were talking about maybe people going out longer that maybe repo lenders are being a little more open minded to collateral other than just agency. Do you think the terms that, if you were to choose to apply some modest leverage to the MFR book maybe as an alternative to doing re-REMIC? Do you think that same price range of say 150 to 250 would apply to those positions, the new positions as well?
Ron Freydberg: The answer is probably, but there are a variety of different options that we're looking at when it comes to leverage for the non-agencies. Different people have different thoughts and we're going to go through and see what works best economically for MFA before we put any leverage on. So the leverage that we have on now is one month. What I think we're going to focus on is trying to get a little bit longer leverage and make sure its permanent for a longer period of time.
Bill Gorin: Steve, its Bill Gorin, our Q will file this afternoon. You'll see the yield we're booking on our non-agency is approximately 15% on the MFR assets. At the same time, if some of you guys have cash in money market funds you know those are probably yielding maybe 10 basis points. The point is there's going to be a number of structures dissolved for leverage on assets that yield 15%. But we're not locking in because every day these structures seem to become more efficient. What we're doing now is to buy the assets that give us this yield. As we say in the press release, we're comfortable that different forms of leverage are available and will become available. The key right now is to acquire the assets. The reason we don't structure a deal is the structure will become more efficient a couple of months from now.
Steven DeLaney - JMP Securities: Sure. Bill, I totally get it and once you do a re-REMIC you've locked and loaded. And so I was thinking that maybe that it makes sense just doing some short repo near-term until you really see how the re-REMIC pricing settles in.
Bill Gorin: Well, right now we're not capital constrained on acquiring the assets. If we see an asset we want, we can acquire it. So we don't need to come up with the leverage answer right now.
Stewart Zimmerman: Steve, on the other side of that same coin it's simply that we're very comfortable with what we're earning on the assets without leverage.
Steven DeLaney - JMP Securities: I hear you, Stewart, that's fair, which brings us to the fact that you have bought – you're timing's been good, you've got very attractive prices. And in fact for what we're seeing out there for current quotes for super senior alt-A hybrids, most of those have like six handles now. Would you say that if you were in the market now that you'd be paying 5 to 10 points higher than you probably had to pay back in February and March?
Craig Knutson: Steve, I would say that's true. The prices are certainly higher today. As Bill said before, we think there are some good values. There not maybe as easy to find as they were a few months ago, but they still exist.
Operator: Your next question comes from Bose George - KBW
Bose George - KBW: I just wanted to see if you had the dollar amounts of the gains by the different types the non-agency and agency. I assume it will be out in your 10-Q, but if you had that handy that would be great.
Bill Gorin: Let me just give you approximate numbers. In the agency, obviously, is a larger part of the company and I would say, and again, these are approximate numbers. Let's say we're up about $60 million in the quarter for the agencies, almost a comparable amount on the non-agencies, and probably closer to $50 million on the swaps.
Bose George - KBW: Switching to the agency portfolio, I just wanted to see your take on the government raising the limit on the HARP refi to 125. The 105 didn't seem to do a whole lot. Do you think this increase is going to be material in terms of prepayments fees?
Bill Gorin: I think if you keep in mind that a good portion of our portfolio on the agency portfolio interest only mortgages, they are going to be more sensitive to what the rate is than the LTV. So if you have a 6% I/O mortgage, they need to get to below 4.5 on their conforming just for them to be dollar for dollar to go along with that. So I think you'll see some pickup because they're going to 125, but I don't think it's going to be all that significant.
Ron Freydberg: That's one change. The other change is while 30-year rates had bottomed off 450 now they're closer to 5, so there are different factors impacting it. I don't think any researcher is saying they expect a substantial change because of the change from 105 to 125 maximum loan-to-value.
Operator: Your next question comes from Jordan Hymowitz - Philadelphia Financial
Jordan Hymowitz - Philadelphia Financial: Firs of all, what is the book value ex the markup in the assets? In other words, what is the book value at cost as opposed to mark-to-market?
Bill Gorin: We are not people that rely on the historical book value, we believe in mark-to-market book value. But I think you can look at the balance sheet and sort of figure that out, right? Just take away the cumulus deficit or double it. If you take out the comprehensive loss, it's very close. The book value is very close to the historical cost basis right now. The other comprehensive loss is only $4 million.
Jordan Hymowitz - Philadelphia Financial: You don't understand what I'm asking. In other words, the fair value is between 105 and 106 of your agency repos today.
Bill Gorin: Stewart said to buy the markets by the 6 point premium because we don't have our agencies more 5 or 6 point premiums.
Jordan Hymowitz - Philadelphia Financial: Do not?
Bill Gorin: Do not.
Jordan Hymowitz - Philadelphia Financial: Are they marked at par then?
Bill Gorin: No, they're not marked at par. They're marked at market.
Jordan Hymowitz - Philadelphia Financial: How much above par are they marked at on the agencies, I guess that's my question, then I can do the math.
Bill Gorin: North of four points.
Jordan Hymowitz - Philadelphia Financial: So my next question then becomes, if the market is between 105 and 106, why don't you just sell your agency book and take the gain?
Bill Gorin: Well, to some extent, Jordan, we have. We could [launch] this exactly the way we look at it. If we're not a buyer, sometimes we're a seller and that's why you saw some realized gains in the second quarter.
Steve Zimmerman: Jordan, we looked at the portfolio we took the longest duration asset that we had at the moment and we sold a portion of those. And that was simply not necessarily the book to gain, that was simply because we were trying to take risk out of the portfolio. Overtime, I'm not suggesting for the balance of this year maybe even not at the balance of next year, but overtime interest rates are going to be higher than they are today, so we have to look forward two or three years not for the next quarter.
Bill Gorin: Don't forget, if you sell these assets which would yield them 5% and your incremental repo cost is in the 30s, you impact your earnings by selling these assets too. So we do see assets but it's not an all or none decision.
Jordan Hymowitz - Philadelphia Financial: Offsetting this 104 approximately you've got some losses on swaps too, or gains on swaps rather, that would be offsetting that.
Bill Gorin: Say that again, I'm sorry.
Jordan Hymowitz - Philadelphia Financial: If the 8766 is basically held at 104 today on your balance sheet approximately, there's some loss on swaps that's offsetting that as well.
Bill Gorin: You're correct. So $170 million, I believe.
Jordan Hymowitz - Philadelphia Financial: It's $173 million. So its seems we have a $350 million in gain offset by $173 million in loss, so $177 million net basis would be if you liquidated everything but the premium of a book would be.
Stewart Zimmerman: We haven't done that number, Jordan.
Bill Gorin: You're saying to the extent that our agencies aren't marked at the absolute highs because we're not sure if we could sell nine billion at 105, 106. Our book value reflects the market value as we understand it. There is no difference there.
Jordan Hymowitz - Philadelphia Financial: I'm not saying there's a difference, and we can do this more after, but I'm just saying that your book value reflects a premium over cost today and that premium is approximately a little under $1 a share.
Bill Gorin: Well, just on the agency side because you still have mark-to-market losses on the MSA AAAs.
Jordan Hymowitz - Philadelphia Financial: Yes, I'm excluding that.
Bill Gorin: So it's about even. It's about even.
Operator: Your next question comes from Jason Arnold - RBC Capital Markets
Jason Arnold - RBC Capital Markets: It seems like mortgage originations and refi activity have reached a near-term peak here and are likely to head back down, but I was just curious if you can share your thoughts on mortgage refis and prepayments ahead. I know your portfolios a lot more insulated with the I/Os but just curious about your big picture thoughts.
Stewart Zimmerman: This is just one person's thought process. Our CPR for the quarter was 16. There's no reason to believe that it will go slightly hither. But I don't think you go back into the 30s and 40s or where you were in August of '03, as an example. So could there be a pick, the answer is yes. But, again, we continue to look at the refi index, which kind of goes up and down. It's been down over the last week or two and would kind of lift up just slightly. So I would think that, yes, could we see a pickup in prepaid, the answer is yes. But I don't think it becomes anything of great significance.
Jason Arnold - RBC Capital Markets: As a follow-up on the non-agency side of the portfolio, I was just curious what segments of the market are you really more or less concentrated in? Is it like 31's, 51s, are you focusing on deal structured by particular issuers or what's that look like there?
Craig Knutson: I would say it's not necessarily concentrated on certain issuers or on certain part of its 31, 51, 71. The analysis that we do when we look at all these deals is really very fundamental on an underlying loan basis. So we try not to approach it with a predisposition to avoid a certain vintage to avoid a certain state because we believe that we account for that and price for that. That being said and we've said this previously, we haven't bought any prime paper. We haven't bought any option on paper.
Operator: Your next question comes from Henry Coffey – Sterne, Agee & Leach
Henry Coffey – Sterne, Agee & Leach: A couple of questions, one has to do with the actual discount on your non-agency book. Overtime most of that accretes into value through earnings, correct? Does any of it work its way into book value or would that just come from the mark-to-market adjustments?
Bill Gorin: Well, certainly the legacy non-agencies owned by MFA that'll go back into book value because we're still booking that income off our cost basis.
Henry Coffey – Sterne, Agee & Leach: And the stuff that you've bought at "$0.50 on the dollar" that accretes into earnings.
Bill Gorin: Most of the discount does. Some of it we don't expect to receive and it's sort of a credit reserve. When we talk to people about their non-agency book, a lot of them are in the situation where they're seeing tremendous cash flows coming in and then their accountants are going no, no, no you can't count that we're uncertain about the absolute outcome and so there's a lot of the equivalent I guess of reserve building. Are you finding yourself in the same situation?
Bill Gorin: Well, we are buying the senior most tranches so it's very different than someone that might own a subordinate piece, which might be booking a large income without the cash. So, no, we're not seeing that.
Henry Coffey – Sterne, Agee & Leach: So you're able to accrue most of that into income because of your senior position you're able to capture most of the actual income related cash flows, as well as some of the discount into income.
Bill Gorin: Yes, that's correct. The coupon and some of the discount is accrued into income.
Henry Coffey – Sterne, Agee & Leach: Then as your swaps mature, how much of that gets done by year-end and how much of that stretches out into 2010?
Bill Gorin: As I said, we are getting ready to file the Q this afternoon and we'll lay it all out there.
Operator: Your next question comes from Matthew Howlett - Fox-Pitt Kelton
Matthew Howlett - Fox-Pitt Kelton: Just on the non-agency side again, you mentioned accruing loss adjusted yields in the low teens to high teen's area. Could you maybe just elaborate on that more in terms of what you're assuming for prepayments and losses and how you factor in potential modifications given it looks like the collateral is alt-A and so forth.
Craig Knutson: First of all, when we book those there's two components to the discount, right. One component is [inaudible] and the other is a credit reserve. In terms of prepayments and loss assumptions, again, it really varies by collateral. So in some cases we may have prepayment assumptions that are as slow as one or two CPR. In other cases they might be in the high single digits, but it really depends on the deal. Similarly in terms of loss type assumptions, loss severities, again, will depend on the deal. They could be down around 50% or maybe even it could be as high as 70% or 80% depending on the deal.
Matthew Howlett - Fox-Pitt Kelton: The modification impact in terms of number one, is the collateral what type of vintage is it could you give us. And then two, in terms of where the 60 plus delinquencies and how do you factor in the potential for a high amount of modifications through hope for homeowners or through some other mechanism impacting the securities in terms of the yields.
Bill Gorin: The way that we really consider loan modification is in most cases where we believe we're most vulnerable to loan modifications we do try to quantify what affect that will have on the yield. But at the end of the day, I think most of the loss assumptions that we make on the securities are harsher than the impact on the cash flow of loan modification. So, if you assume that you have a lot of loan modifications and they're successful, obviously, then that means that your original default loss assumptions were probably too high. So in most of those cases we believe that we actually end up either better or maybe in the same place with loan modifications because I think we're pretty harsh on the securities when we model them in the first place.
Matthew Howlett - Fox-Pitt Kelton: Just maybe one recommendation did we breakout by vintage possibly, if that's possible, the underlying asset.
Bill Gorin: We do that in the Q.
Operator: Your next question comes from Omotayo Okusanya – UBS
Omotayo Okusanya – UBS: Just a couple of quick questions, one, going back to an original question that was asked it definitely makes sense having the non-agency book, but from the viewpoint of investors who are clearly looking to just invest in agencies. Do you think that creates some type of problem that would kind of result in you guys spinning off MFResidential very much the same way some of your peers have done or some other companies that are trying to go public in that space purely for a person under non-agency market.
Stewart Zimmerman: I don't think it creates a problem at all. If anything, this is certainly a positive for our shareholders. And if in fact it's in the best interest of our shareholders to spin off MFResidential, we will certainly consider that and look at that opportunity. But it is not a problem it's a positive.
Omotayo Okusanya – UBS: Then the second question I have is in regards to the non-agency portfolio, since the discount is now accreting into your GAAP earnings trying to get a sense what's the difference between GAAP earnings and taxable earnings now, if there is any.
Bill Gorin: It's still a large number because the bulk of our assets still are agencies, so it's not a [inaudible] for us.
Operator: (Operator Instructions) Your next call comes from Henry Coffey – Sterne, Agee & Leach
Henry Coffey – Sterne, Agee & Leach: When was the last time that you actually bought an agency security?
Ron Freydberg: August of last year.
Henry Coffey – Sterne, Agee & Leach: And the CPR was 15 or 14?
Ron Freydberg: 16.
Operator: Your next question is a follow-up from Bose George - KBW
Bose George - KBW: Can I just get your portfolio the duration number?
Ron Freydberg: I think it's actually 1 is the number. I think the duration is now 1.
Operator: (Operator Instructions) No other questions at this time. Please go ahead.
Stewart Zimmerman: I'd like to thank everybody for participating on our earnings call. We look forward to speaking with you next quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. This conference will be made available for replay after 12 pm today until August 3, 2009 at midnight. You may access the AT&T executive playback service at any time by dialing 1-800-475-6701 and entering the access code 108968. International participants may dial 1-320-365-3844. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.